Operator: Greetings and welcome to Riot Platforms Second Quarter 2024 Financial Results Conference Call. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Phil McPherson, Vice President of Capital Markets and Investor Relations. Thank you. You may begin.
Phil McPherson: Thank you, Zico. Good afternoon and welcome to Riot Platforms' second quarter 2024 earnings conference call. My name is Phil McPherson and joining me on today's call from Riot are Jason Les, CEO, Colin Yee, CFO; and Jason Chung, Executive Vice President and Head of Corporate Development and Strategy. On the Riot Investor Relations website, you can find our second quarter 2024 earnings press release and accompanying earnings presentation which are intended to supplement today's prepared remarks and which include a discussion of certain non-GAAP items. Non-GAAP financial measures provided should not be considered as a substitute for or superior to the measures of financial performance prepared in accordance with GAAP and are included as additional clarifying items to aid investors in further understanding the company's second quarter performance. During today's call, we will be making forward-looking statements regarding potential future events. These statements are based on management's current expectations and assumptions and are subject to risks and uncertainties. Actual results could materially differ due to factors discussed in today's earnings press release in comments and responses made during today's call and in the Risk Factors section of our Form 10-K and Form 10-Q, including for the quarter ended June 30, 2024 which will be filed today after this call as well as other filings with the Securities and Exchange Commission. With that, I will now turn the call over to Jason Les, CEO of Riot Platforms.
Jason Les: Thank you, Phil and good afternoon, everyone. Riot's primary strategic focus has been on developing a leading vertically integrated Bitcoin mining company built on the three key pillars of: one, developing and owning operations of significant scale; two, being a low-cost producer of Bitcoin; three, building a balance sheet of strength. During the second quarter of 2024, we've demonstrated success at all three of these pillars. Riot successfully energized our Corsicana facility, increasing total deployed hash rate quarter-over-quarter by 77% from 12 EH/s to 22 EH/s and exceeding our quarter end target of 21 EH/s. We also raised our 2024 deployed hash rate target from 31 EH/s to 36 EH/s and our 2025 deployed hash rate target from 40 EH/s to 56 EH/s. These growth plans remain fully funded as a result of our continued focus on maintaining a strong balance sheet. The second quarter of 2024 was the first quarter of Bitcoin production which predominantly occurred following the halving event which occurred in late April and which led to a reduction in the Bitcoin block subsidy from 6.25 to 3.125 Bitcoin per block. Additionally, global hash rate grew by 6% quarter-over-quarter. Both of these events created bearish headwinds for Bitcoin miners when it comes to the cost of mining. Despite these events, Riot's direct cost to mine in the second quarter remained extremely competitive and was well below the average price per bitcoin during the quarter. These outstanding results were aided by our unique power strategy which generated $13.9 million in power credits during the quarter, resulting in an all-in cost of power of $0.027 per kilowatt hour during the quarter while also supporting the Texas grid during times of disruption in supply and demand. Following the close of the second quarter of 2024 on July '23, Riot announced the acquisition of Block Mining, a privately held Bitcoin miner operating in Kentucky. This acquisition immediately adds 60 megawatts of operating capacity with the potential to quickly expand to 110 megawatts this year by leveraging existing infrastructure and a pipeline to build to over 300 megawatts in total in Kentucky. This adds approximately 16 EH/s of total hash rate capacity and provides us with a clearly identified growth path to 2 gigawatts of potentially accessible power and 75 EH/s of potential hash rate deployed. We remain focused on the growth and enhancement of our Bitcoin mining business. Riot's focus is maximizing Bitcoin mining results and our strategy is enabling us to execute on this at an unprecedented scale. I would now like to turn the call over to Colin Yee, CFO of Riot Platforms.
Colin Yee: Thank you, Jason. I'm excited to present Riot's financial results for the second quarter of 2024, during which Riot achieved a number of key milestones. For ease of reference, Slide 5 presents a snapshot of key financial and operating metrics for the second quarter of 2024. So let's go over some highlights on the following pages. Riot owns and operates the largest dedicated Bitcoin mining facility in the world, the Rockdale facility, where we continue to deploy miners and expand our self-mining capacity during the second quarter. In addition, during this past quarter, Riot successfully energized our new Corsicana facility which when fully developed, will supplant the Rockdale facility as the largest dedicated Bitcoin mining facility in the world. As a result of the successful energization and development of our Corsicana facility and ongoing development at our Rockdale facility, Riot ended the second quarter with an installed hash rate of 22 EH/s, a 106% increase relative to the second quarter of 2023 and exceeding our prior guidance of 21 EH/s. Alongside additional growth in Kentucky, resulting from our acquisition of Block Mining, we now anticipate achieving a total self-mining hash rate capacity of 36 EH/s by the end of 2024, up from our prior guidance of 31 EH/s. During the quarter, Riot mined 844 Bitcoin which represents a decrease of 52% from the 1,775 Bitcoin we mined during the second quarter of 2023. This decrease was primarily driven by the block subsidy halving event which occurred in April 2024 and the significant increase in the Bitcoin network difficulty which increased by 68% from the second quarter of 2023. However, driven by the significant growth in our hash rate capacity expected through the remainder of the year, we anticipate producing more Bitcoin per day by the end of 2024 than we did in the first quarter of 2024, halving non-withstanding. Riot ended the second quarter of 2024 with 9,334 Bitcoin, an increase of 28% relative to the 7,265 Bitcoin that we held at the end of the second quarter of 2023. Riot continued to retain 100% of all Bitcoin produced in the second quarter. In the second quarter of 2024, Riot reported total revenue of $70 million as compared to $76.7 million for the second quarter of 2023, a 9% decrease year-over-year. This decrease was primarily driven by lower revenue at the company's engineering division. During the quarter, Riot reclassified third-party hosting revenues and costs into other from Bitcoin mining, as previously reported in the first quarter of 2024. Non-GAAP gross profit for the quarter was $30.3 million as compared to non-GAAP gross profit of $26.2 million in the second quarter of 2023. Non-GAAP adjusted EBITDA for the quarter was a loss of $75.2 million as compared to non-GAAP adjusted EBITDA of $24.3 million in the second quarter of 2023. Riot's adoption of FASB's final standard on crypto assets issued in December 2023 which Riot now recognizes its Bitcoin held at fair value and with it, changes in fair value now recognized in income. As a reference, Bitcoin price at the end of the first quarter of 2024 was $71,333 and the price at the end of the second quarter was $62,678. This resulted in a mark-to-market downward adjustment of $76.4 million in the second quarter. Net loss for the quarter was $84.4 million or $0.32 per share compared to a net loss of $27.4 million or $0.16 per share for the same period in 2023 which included a loss from the change in the fair value of Bitcoin held equal to $76.4 million, noncash stock-based compensation expense of $32 million and depreciation and amortization of $37.3 million. As a reminder, beginning in the first quarter of 2024, we adjusted our depreciation schedule for mining hardware from a 2-year to a 3-year schedule based on our evaluation of market practice and our own operational history. For the second quarter of 2024, Bitcoin mining revenue totaled $55.8 million, a 12% increase relative to second quarter 2023 Bitcoin mining revenue of $49.7 million. Bitcoin mining cost of revenue primarily consists of direct production costs of Bitcoin mining operations including electricity, labor and insurance but excluding depreciation and amortization. Bitcoin mining revenue in excess to Bitcoin mining cost of revenue for the quarter was $20.5 million, representing a margin of 37% as compared to $26.1 million or a margin of 52% in the second quarter of 2023. This decrease in margin was primarily driven by the halving events and the significant increase in global hash rate quarter-over-quarter. If power credits were directly allocated to Bitcoin mining cost of revenue, Bitcoin mining cost of revenue would have decreased by $13.9 million, increasing our Bitcoin mining margins of $34.4 million or 62% on a non-GAAP basis. In spite of the global network hash rate increasing from an average of 568 EH/s in the first quarter of 2024 to 604 EH/s, a 6% increase and the Bitcoin halving event in April 2024, Riot's cost to produce Bitcoin in the second quarter only increased 9% on a per Bitcoin basis and costs on a dollar basis actually decreased to $30.5 million from $36 million in the third -- in the first quarter of 2024. Direct cost to mine this quarter totaled $25,327 per Bitcoin, of which direct power costs amounted to $14,890 or 59% of total direct cost to mine a Bitcoin. While direct non-power costs which include direct labor, miner insurance, miner and miner related equipment repairs, land lease and related property taxes, network costs and other utility expenses totaled $10,437, or 41% per Bitcoin. As previously mentioned, the halving had an increase in the global network cash rate and an accompanying increase in network difficulty were the primary drivers behind the slight increase in Riot's average direct cost to mine Bitcoin in the second quarter. This was offset by an increase in power credits as compared to the first quarter of 2024. Riot's engineering business carried on through Riot's wholly owned subsidiary, ESS Metron, reported revenue of $9.6 million in the second quarter of 2024 as compared to $19.3 million for the same 3-month period in 2023, a decrease of $9.7 million. This decrease was primarily attributable to supply chain constraints resulting in decreased receipts of materials, delaying the completion of certain custom products and therefore, the recognition of revenue. Our custom electrical products such as switchgear and power distribution centers are used as important components in data center development and in power generation and distribution facilities and there has been increased demand for these products due to the continued increase in data center construction by developers as well as the continually increasing worldwide demand for power. Engineering gross profit for the quarter was $1.4 million as compared to a gross profit of $1.1 million for the second quarter of 2023. We anticipate a strong second half of 2024 for our engineering business, driven by continued growth in demand primarily from data center customers and the completion of complex legacy projects. I will now turn the call back over to Jason Les.
Jason Les: Thank you, Colin. With Riot's expansion into Kentucky, we now have access to 2 gigawatts of total power capacity and are well on our way to securing enough power to achieve our growth target of 100 EH/s of self-mining hash rate. The pipeline enabling this growth consists of 700 megawatts of capacity at our Rockdale facility, 1 gigawatt at our Corsicana facility and more than 300 megawatts of operating and potential capacity in Kentucky. Subsequent to the end of the second quarter of 2024, Riot announced the acquisition of Block Mining, a private Bitcoin miner with operations in Kentucky. This acquisition represents Riot's first major acquisition since 2021 and marks Riot's first strategic expansion outside of Texas. The acquisition of Block Mining immediately increases Riot's hash rate while significantly expanding our development pipeline of new growth opportunities, broadens Riot's footprint nationally and expands our operations into new mining-friendly jurisdictions, adds exposure to new energy markets outside of ERCOT in which Riot can continue to leverage our unique power strategy while helping to support local grids and brings on board an experienced management team which will continue to operate existing assets and leverage strong local relationships to drive further growth opportunities. As a result of our acquisition of Block Mining, Riot, gained two additional operating data center facilities in Kentucky. First, Commerce Drive which currently operates 35 megawatts of capacity in Paducah, Kentucky. And second, Blue Steel which currently operates 25 megawatts of capacity in nearby Calvert City, Kentucky, as well as on greenfield expansion site also in Kentucky. Both operating facilities already offer immediate expansion opportunities. Commerce Drive can be potentially expanded up to 100 megawatts leveraging existing infrastructure and Blue Steel can be expanded up to 55 megawatts. Additionally, while at present, there was approximately 18 megawatts of capacity being used to host third-party miners on site, 8 megawatts of this capacity is subject to change in control provisions which Riot intends to exercise, while remaining hosting contracts will wind down over the next few quarters, further adding to Riot's self-mining capacity. Together, both operating facilities currently operate 1 EH/s in self-mining and 60 megawatts of power capacity which we anticipate will be expanded to 4.8 EH/s of self-mining hash rate and 110 megawatts of power capacity by the end of this year. Coleman Road, Riot's new greenfield development site has the potential to be developed up to 150 megawatts which would bring the total expansion capacity from our acquisition of Block Mining up to a total of 305 megawatts, representing a significant portion of the additional capacity we require as we work towards our goal of achieving 100 EH/s of total capacity. Under Riot's existing MicroBT ASIC miner purchase option which carries a $16.50 per terahash price cap, Riot can fully develop these assets for approximately $345 million or $30 million per EH/s deployed, inclusive of total consideration or $21.8 million per EH/s when excluding the purchase consideration. This compares favorably with Riot's historical cost per EH/s deployed during Phase 1 at our Corsicana facility of approximately $40 million per EH/s. The Block Mining team has a proven track record as a low-cost developer of Bitcoin mining infrastructure and as a low-cost bitcoin miner. Operating in the Midcontinent Independent System Operator, MISO Power Grid, Block Mining had an average power cost over the past year equal to approximately $42 per megawatt hour and an average CapEx build-out cost of $210,000 per megawatt a day across Commerce Drive and Blue Steel. Riot has strived to provide clear guidance on our growth plan and just as importantly, where we anticipate this growth will come from. We believe that providing visibility on not just overall growth plans but also on the specific sources to achieve this growth is a vital element in demonstrating the credibility of any Bitcoin miner's growth forecast. Thanks to the groundwork laid out over the past few years as we have focused on developing our Corsicana facility, we have the benefit of a clear path to achieve significant growth in the coming years. This clear path includes growth from additional expansion opportunities at our Rockdale facility, continued development at our Corsicana facility and immediate and near-term added capacity in Kentucky, as well as additional pipeline opportunities as a result of our acquisition of Block Mining. Executing on all of these growth opportunities, alongside our low-cost fixed price purchase options with MicroBT for latest generation ASICs will bring it to 75 EH/s in total capacity, well on track towards our long-term goal of reaching 100 EH/s. Riot's long-term purchase order with MicroBT continues to improve Riot's fleet efficiency, now at 24.5 joules per terahash. To date, our orders for new miners from MicroBT have been received at or ahead of schedule as we have now received approximately 77,734 miners with the vast majority already deployed. As additional new generation miners for MicroBT are received and deployed, Riot's total fleet efficiency will improve to 21 joules per terahash in 2025. If Riot executes -- it exercises its long-term purchase option of 265,000 M66S miners, total fleet efficiency would improve to below 20 joules per terahash. Riot continues to prioritize maintaining a strong balance sheet with significant financial resources, including cash, marketable securities and Bitcoin holdings in order to drive long-term value creation for our shareholders. As a result of our financial position, we can act decisively and continuously scale our business to meet the growing opportunities in the Bitcoin mining space. This balance sheet strength, based on $639 million in cash and marketable securities and 9,334 Bitcoin, enables us to confidently plan our growth funding needs ahead of time. In fact, growth plans to the end of 2025 calling for $694 million in capital expenditures are already fully funded. Riot's vision is to be the world's leading Bitcoin driven infrastructure platform. The strategy we've been executing on over the past several years has now begun bearing the results which position us to realize this vision. Through our vertically integrated strategy, we have created an unmatched infrastructure growth pipeline to increase our hash rate by 193% to 36 EH/s by the end of this year and ultimately to our goal of reaching 100 EH/s in total self-mining hash rate. Riot's balance sheet strength underpins our ability to achieve our growth targets. And as a result, our 2024 and 2025 growth plans are fully funded. We are incredibly excited about what Riot is accomplishing this year and we look forward to executing on our stated goals. Thank you all for listening to our presentation. We would now like to open the call for questions. Operator?
Operator: [Operator Instructions]
Phil McPherson: Okay. We will take our first question from Greg Lewis of BTIG. Operator, can you open the line?
Greg Lewis: Jason, congrats on getting Corsicana half fit, it was a long time coming. I guess but the question I have is around what's next to Corsicana? So as we kind of think about that next 600 megawatts, what else -- what needs to happen to get there, i.e., in terms of procuring additional equipment, maybe expanding the substation and probably also as we think about, are there any additional approvals or permits that are going to be needed to get to that gigawatt down in Corsicana?
Jason Les: Thanks for the question, Greg. So first off, we're very encouraged about what we're seeing with results at Corsicana. So we are excited to scale up and leverage these advantages over the base of operations that we've created. What's very valuable about Corsicana is that 1 gigawatt interconnect that is already fully improved. We have 1 gigawatt approved with a large flexible load task force. We have the required FDA to access all that power, all of the required regulatory approvals are there. So the next step to building that second phase, that 600 megawatts, would be procuring the transformers and equipment necessary to expand the substation and then all of the equipment necessary to build out an additional building. So then you have switchgear, medium voltage transformers, low voltage gear immersion tanks, et cetera. So now that we're starting to get some operating time under our belts here at Corsicana, we're able to identify which products we like best for the second phase. So we're very excited to monetize that full capacity of 1 gigawatt of Corsicana. We are making the development plans now for that second phase. We're going through the process, putting these together, getting bids from vendors. And I think in due course here, we'll be able to share an update on what those plans look like in terms of timeline cost and other particulars about that. But we're very excited about taking that full -- site to the full 1 gigawatt.
Greg Lewis: Okay, great. And then just pivoting a little bit, as I think about ESS Metron and that acquisition, realizing that ESS Metron's number 1 customer is Riot. As we think about the potential capacity to scale up or fill down, I mean, clearly, there's demand for ESS Metron's services equipment, that only seems to be rising with increases to the grid, increasing demand for data centers, obviously, increasing demand for Bitcoin mining. I guess, as we think about the ability to scale that business over the next 2 to 3 years, how should we be thinking about the potential to like deploy capital in that vertical to kind of get and maybe unlock the potential that ESS has towards a broader market?
Jason Les: Yes. So first, Riot is actually not ESS Metron's largest customer as far as I'm aware. They have a -- we're a small cost customer overall. As you're noting, Greg, with the extension of the AI HPC data center space, there is huge demand right now. Their results that we kind of touched on a little bit last quarter have been impacted as of late by supply chain constraints and some major legacy jobs that have been taking up all of their capacity. So we've done a number of things to alleviate that. Over the second quarter, we believe the supply chain constraints -- and we -- once this job clears through which is expected to happen in the second half of this year, now we'll be able to start doing all these jobs in the data center AI HPC space. So we're pretty excited about that. We are also -- we've been working to secure additional floor capacity, so they're able to do more production at one time. And we have been looking at other opportunities to scale that business as well. So I don't have a definitive number or any type of guidance like that to give you, Greg. But I can tell you, in addition to scaling our Bitcoin mining business, we are focused on making sure ESS Metron is equipped to capture the opportunity in the data center space as well.
Phil McPherson: Okay. At this time, we'll take our next question from Darren Aftahi from ROTH MKM. Operator?
Darren Aftahi: You guys you hear me?
Jason Les: I hear you, Darren.
Darren Aftahi: Great. Two, if I may. First, just as we think about 75 EH/s going to 100 EH/s in light of you guys buying Block Mining and talking about the cost per EH/s being more favorable than Corsicana. I'm just kind of curious with the entrée, maybe the last halving cycle, we have as many people chasing power assets, now we kind of have a new category there. How are you guys thinking about kind of achieving that goal? And are you seeing more of a challenge to procure larger power assets, i.e., over 100-plus megawatts organically? Is your growth strategy going to involve more acquisitions? Second question, obviously, we all came back from Nashville. There's a large presence on the conservative side. And I know there was also some Democratic presence. So Jason, I'm curious to kind of get your views about how you feel like crypto and Bitcoin is going to play a role in the election beyond just the Republican party and even RFK and then what your general thoughts are for Democrats, I think will come around to this, you'll have maybe even more of a tailwind than you already do right now?
Jason Les: Thank you, Darren. Okay. So first question on how we look at achieving 75 EH/s? The foundation to our business has been this vertically integrated strategy where we focus on getting access to power. So that's why we prioritize Corsicana going back over 2 years now, securing that capacity so we would have that 1 gigawatt pipeline. So that is our number 1 focus always at Riot, how can we secure this power capacity and we've been successful doing that organically with demonstrating our results and our community benefit in Texas. And as you noted, Darren, we're doing it inorganically as well. I think Riot has the best corporate development and M&A team in the industry. We are scurrying over all deals at any time. We're diving into deals in incredible detail. And we're moving forward with those that we think are accretive and those that will add capacity to Riot. So you'll see us doing both of these things to get to our ultimate goal. We're going to continue to pursue organic opportunities, leveraging Riot's internal development and sourcing capability and we're going to be in the market looking at deals. But as always, being very, very selective. Number one priority, I'll just leave you with at Riot, is securing this power capacity and getting the equipment necessary to develop that capacity. On to your second question about Nashville and public policy. So Riot had -- we began investing in our public policy effort about 2 years ago because we saw the threat looming around this entire space. We saw a whole of governmental tax on this industry. Whether it be in Congress, whether it be the SEC, the White House, the Treasury department, there have been attacks at every angle. So we knew we needed to -- in order to protect our own business in the whole industry, being investing in this and working with our peers, working with industry groups to educate and advance this industry. We have had success on both sides of the aisle. While you know Nashville had a predominantly Republican presence, we at the conference itself and in addition to before the conference and all the time, work collaboratively with some very strong Democrats who get this issue and just trying to advance it. I think what we're seeing playing out is the game theory that people apply to Bitcoin and lots of different angles. It takes one party to begin embracing Bitcoin more in a regulatory framework and support for the industry to show the other party why that's important. And I think we're already seeing that play out. Prominent Democrats who are allies to the States, have been writing letters to the national party encouraging a shift in this issue. There's been news reports of Vice President Harris's campaign, looking to reach out to the industry and reset relations. So we see this as success of our strategy in action. As more prominent politicians, lawmakers get behind Bitcoin, there's an incentive for other politicians to do the same. And the end result is going to be, Bitcoin is a nonpartisan issue, because Bitcoin is important to everyone. That's the goal that we're trying to work towards.
Phil McPherson: Our next question comes from Lucas Pipes at B. Riley Securities. Operator?
Lucas Pipes: Thank you very much, Phil. Good afternoon, everyone. Jason, I wanted to ask a little bit about the HPC side and the amount of attention it has been getting in the industry. A number of your peers talking about kind of using gigawatts, megawatts to host GPUs. And how does Riot think about this? Well, one, in terms of the portfolio of power that you have? And then two, more broadly, how it might impact the industry?
Jason Les: Thank you, Lucas. So our business plan is to be the best Bitcoin miner in the sector. Kind of our thesis is, no Bitcoin miner has perfected this yet, including Riot. Everyone has a different take on approach, everyone is still figuring this out. So what we want to do is devote our time, our resources to optimizing our Bitcoin mining operations, scaling those operations and being the best Bitcoin miner that we can. We believe over the long term, this foothold of Bitcoin mining, combined with the price appreciation that is forecasted for Bitcoin will pay off long term. That will be the most valuable use of our power. While there's discussion in the industry of certain players getting contracts or getting involved in AI, it really does take a different development capability. So for us, that would be a distraction. We will be splitting our operations in half. We would be building a different type of infrastructure that would be costly or timely to revert back to Bitcoin mining or maybe not possible at all, if that -- commercialization of that capacity didn't work out. So we think it's important to stick to our long-term strategy. Riot's always been consistent on building and developing Bitcoin mining assets. Now how this will affect the whole industry? This recent AI HPC phenomena? Well, I think we're seeing there is a massive competition for energy assets. These AI data centers are looking for capacity wherever they can find it all over the country. Frankly, for these assets to reach all of their capacity goals and the growth goals, they're going to need more generation. We believe that ultimately, loads like Bitcoin mining help drive more generation. But Bitcoin mining loads are flexible, AI HPC loads are not necessarily flexible. So Bitcoin miners help bring that reliable baseload demand for energy generators with the flexibility to turn off at peak time. And this Bitcoin mining is going to be a tool to bring more generation forward. I still think we have an advantage with what we're able to do in different communities, operate in more rural areas where maybe these other data centers may not be able to operate. I think it's also challenging to build -- and more expensive, certainly to build AI HPC infrastructure in a very hot climate where you can make Bitcoin mining work. So there's more competition for power capacity and I think that is proving Riot strategy of prioritizing sourcing capacity now we have this 1 gigawatt that we can build on. We have the organic pipeline to already get us very close to achieving our ultimate goals.
Lucas Pipes: Jason, thank you very much for the perspective and congratulations on the announcement regarding Block Mining and the details you shared on the M&A strategy. I wanted to ask about the next steps in regards to your investment in Bitfarms. Anything you could share at this point?
Jason Les: Sure. So as of right now at Bitfarms, we have no outstanding proposal. I know we had a proposal we made public a while ago. That was never tendered to shareholders. That was kind of brought forth as our example of the challenges that we are seeing with Bitfarms. Frankly, we see some corporate governance concerns at Bitfarms. We are the largest single shareholder and based on how they handled their proposal, based on how they handled our relationships with them implementing an off-market poison pill, our view is that Board is valuing its own interest over its duty to shareholders. So the only thing for our next step right now is the special meeting that's scheduled for October 29. We repositioned that meeting, Bitfarms has scheduled that meeting. We've nominated 3, we think, very highly qualified and directors independent of both Riot and Bitfarms. We think nominating those shareholders to the Board will bring the much-needed governance changes that we see being required there. So nothing except that shareholder meeting on the plans for right now.
Phil McPherson: Our next question will come from Regi Smith at JPMorgan. Operator?
Regi Smith: Congrats on Corsicana and the Block Mining acquisition. I guess I had a follow-up to Lucas' question. And I certainly appreciate the capital intensity and the risks of pivoting to HPC. My question for you, Jason, is there a structure or price where maybe some of those risks are mitigated or partner where that could be mitigated? Is there a scenario in your mind where you see that possibly you could explore this if the right deal structure, right partner approached you?
Jason Les: Thanks for the question, Reggie. Obviously, there's some price where things to be interesting. I think the challenge that we see is the pricing that is generally going to be out there is perhaps less then we see as a long-term upside in Bitcoin when you factor in uncertainty. I think the other things that we're seeing challenging in pursuing these contracts is the duration of them. I think if we look at the space right now, Core Scientific has an excellent deal with CoreWeave. Their deal is what has got the whole industry excited about this. But we haven't seen that replicated anywhere yet. So my question is, is there demand for that similar type of deal structure that's very favorable to Core over a very long time out there? I think we're seeing industry chatter on, hey, is there even enough capital behind all the AI HPC development plans that are out there at the pace that these applications are being commercialized. I think there's a lot of uncertainty around that. So, we are rational economic actors. So if at some point, there was something that was incredibly beyond what we could ever potentially do with Bitcoin mining adjusted for the risk of that business line succeeding, yes, we would take a look at that. I'm skeptical as things play out that, that's going to be the case.
Regi Smith: Understood. That makes a lot of sense and I appreciate the color. If I could add one follow-up and this may be an unfair comparison. But we track various miners and we try to look at the operating efficiency. And clearly, you guys have a cost advantage. But I was curious, like internally how you guys benchmark your operations from an uptime perspective? And if there's an opportunity to enhance that? Are you happy with the way you guys -- or is there an opportunity to kind of what's that path to improving performance, if you aren't happy with it?
Jason Les: Yes, Reggie. I mean, to be frank, if you look at of our recent operating results, we have not been pleased with our uptime going historically and that's why we've been so focused on improving that. That is mainly coming through with what we have going on at Corsicana. We have improved infrastructure there. We are very optimistic about what we're seeing. We're still in the very early days. We just turned on a ton of EH/s at one time. We're tweaking that, optimizing that as that comes on over the month of July. But the preliminary results we're seeing have got us very optimistic. And as time goes on, we think that's going to improve. And improve even more. In parallel, over at Rockdale, we have a lot of initiatives underway. We've talked about replacing some of the problematic miners with MicroBT miners and we are very encouraged with what we're seeing in operating results there. So we are holding ourselves to a very high standard. Reggie, frankly, that's probably the biggest priority at Riot right now alongside building the new capacity at Corsicana. And I think as we scale up here and leverage this direct energy cost per Bitcoin over a wider and wider scale, combined with improving operating uptime, we're going to see some -- we expect to see some significantly improved results here. We'll have our monthly update for July next week and you'll see some of the progress that we've already seen on that front.
Phil McPherson: Our next call will come from Joe Flynn at Compass Point Research & Trading. Operator?
Joe Flynn: Just to piggyback off Reggie's question related to uptime. As we look into the third quarter, can you guys maybe provide an update on the power strategy and maybe any expected curtailment with the hot summer months here?
Jason Les: So I don't have any specific percentages of what we're looking at for the summer months. As far as the power strategy goes, in the second quarter of 2024, we received -- we achieved a $26 per megawatt hour cost of power at Rockdale. That's inclusive of our power strategy. And at Corsicana, just buying power at spot and curtailing during periods of high demand, we achieved a $39 per megawatt hour cost of power. So on a combined basis, our cost of power for the second quarter was $27. August is typically one of the more challenging months in ERCOT, both with respect to heat and both -- I mean by extension, the volatility we see in the power market. So if -- so far, Texas has a pretty mild summer. I think that's because we've seen both mild weather and large growth of renewal generation added this year in Texas. So I think you should expect to see a good cost of power for July and then going into August, we'll see if this mild summer continues or not and what level of curtailment comes from that.
Joe Flynn: That's helpful. And could we also get some color to the sequential increase in cash SG&A? And maybe how we should think about that going forward as kind of Corsicana ramps up?
Jason Les: Yes. So the increase in SG&A quarter-over-quarter really wasn't because of Corsicana. I think the main figure that we're really proud about this quarter is how our direct cost per Bitcoin net of our power strategy went up only marginally from around $24,000 to $25,000 per Bitcoin despite the halving and despite the increasing difficulty. And the reason for that is we have this low cost of energy. That is what scales linearly when we scale up and these other costs are more consistent. With respect to G&A, the driver for that cash cost increase quarter-over-quarter was mainly onetime advisory fees associated with M&A activity. So we still believe our run rate for G&A is around $25 million. We're having these temporary expenses that could increase that if M&A opportunities are successful going forward. And we've had some M&A advisory fees in the past quarter as well. But those aren't part of our ongoing cost operations.
Phil McPherson: Our next call comes from Martin Toner at ATB Capital. Operator? Martin?
Operator: Martin, your line has been unmuted. May I request you to unmute your line from your side, please?
Martin Toner: Sorry about that, guys. Quick question about miners. Any thoughts on the strategy to secure the miners to get from 70 EH/s to 100 EH/s?
Jason Les: So with our existing MicroBT purchase option, Martin, we have the capacity secured to get to that 100 EH/s. That's if we fully exercised that MicroBT option for 266,000 or so M66S miners. Of course, under the contract, we also have the ability to upgrade those miners and with efficiency improvements, that would get to even greater hash rate. Alongside that, we're looking at what all manufacturers are putting out to the market all the time. We're testing what's going on. We're asking questions, we're negotiating. All of Riot's business is always up for grabs and we like the results that we get when manufacturers of any products are competing for our business. We've seen the benefits of that first-hand. So short answer to your question, Martin, is the existing MicroBT purchase option gives us enough supply to get to the 100 EH/s but we're looking at options to go even beyond that.
Martin Toner: Super. I believe other revenue was disclosed which was the remnants of the hosting customer. Can you give us a little update on where that stands?
Jason Les: Sure. Let me turn the question over to our CFO, Colin Yee.
Colin Yee: Thanks, Jason. So Martin, given the status of our third-party hosting contracts, management in conjunction with discussions with our auditors, we decided that it would be more useful information we could include those third-party hosting revenues and hosting costs into others; so you'll see it there. With respect to sort of the current status on that, as you know, those contracts are generally in litigation. So we can't say anything more than that.
Phil McPherson: Our next call is from Bill [ph] at Stifel.
Unidentified Analyst: Congratulations once again on the recent Block Mining acquisition. For my first question, I was just hoping you'd be able to share your outlook for Bitcoin mining economics over the near to medium term. And how these market dynamics are impacting the M&A pipeline or existing growth opportunities? Obviously, Riot is financially well positioned in this current market. Looking to get some more color there.
Jason Les: Yes. Thank you, Bill, for the question. We've seen Bitcoin mining economics constrained more than they ever have been. We -- over the second quarter, the industry saw an all-time low hash price and even today, we're at $46 per terahash per day -- or $46 per terahash per day. So definitely a challenging time for Bitcoin mining economics. We've had the halving, the price is not appreciated much since the halving but network difficulty has continued to increase. So this is obviously why we focus on having such a low cost of production and focusing on the power strategy first and foremost. I think this creates a dynamic for why it can potentially have M&A opportunities. Where there are miners who maybe relying on debt or have some type of financial structure where these hash prices make them unprofitable and unable to continue to do business. That is where a more well-capitalized player, like Riot, is able to do -- to find opportunities. Other things that we can see as miners that in response to these constrained economics need to upgrade their fleets. They have outdated fleets but they don't have the capital to do it. That is where a partnership with Riot through an acquisition is a big win for both parties. So we're looking closely at any opportunities that come up. Like I said, I'm incredibly proud of the corporate development team that we've assembled at Riot and the detail on which our whole team is able to evaluate transactions on a regular basis and we are always interested in opportunities to continue to scale our operating footprint.
Unidentified Analyst: Thank you for that response. Jason, I know your team is super bullish on the Bitcoin space and the outlook here. So I wanted to ask you a bigger picture question. Just based on what we saw transpire at Bitcoin 2024 conference last week, it's evident that the industry is becoming top of mind and has amassed a lot of punching power in the political sphere. Trump [indiscernible] all announced some variation of a plan to establish a strategic reserve and to help protect the network hash rate in the United States. Just curious if you see potential convergence down the road between the state and Bitcoin miners? Any color to that.
Colin Yee: Yes, I think that is something that we are already seeing at least overseas. Riot -- some of our competitors have entered into partnerships with sovereign wealth funds which are obviously an extension of the nation state to monetize excess capacity. Where we are to seeing that in the United States is to be determined. I think we're typically seeing the cheaper energy pricing, the best energy markets where there is not as close to a relationship between government and power generation and the utilities. But our fundamental thesis is -- we're -- is Bitcoin mining is the ideal tool to accumulate Bitcoin. With the low energy cost you -- your dominant input cost, you can accumulate Bitcoin at a discount to the market price if you're an efficient operator. So if a state had underutilized assets and the ability to do that, paired with the desire to accumulate Bitcoin, that seems like a good strategy. I think the United States will be a bit slower to ever get there. I think and other nations, maybe less democratic nations, things are able to move a bit quicker with the governments in place there. But in the long-term future, I think we will see Bitcoin mining paired with energy assets at every level of the stack. And of course, that will be -- include a partnership with government in some way.
Phil McPherson: Our next question comes from Brett Knoblauch from Cantor Fitzgerald. Operator?
Brett Knoblauch: Perfect. Maybe just another one on M&A. How -- what are you guys look for when evaluating the opportunities that are kind of coming in front of you? Is it location? Is it size? Is it access to power? Is it all of it? And to what extent are you -- would you prioritize maybe adding additional U.S. assets or international assets where power costs might be more affordable but I guess it might be a bit more unstable from a political environment? And how do you guys think about, I guess, just evaluating that entire landscape?
Jason Les: Thanks, Brett. Let me turn that question over to Jason Chung, our Executive Vice President and Head of Corporate Development.
Jason Chung: Brett, thanks for the question. It's an interesting one. So let me tackle that, I guess, part by part. The first part in terms of what we look at when we look at M&A opportunities. First and foremost is power. Power is always top of mind. So what that means is access to power and cost of power, right? We're in an industry that is cyclical and we try to take a very long-term view on what that means -- what the cost of power means for us at different points in the cycle that we know are going to come. So finding access to large-scale amounts of power at a price that is economically viable is really the top, I guess, top consideration for us when we look at opportunities. When it comes to jurisdictions, entering new markets in the U.S., what's interesting about the Block deal, for example, is this did represent our first acquisition outside of ERCOT. Obviously, we're very familiar with ERCOT and how the power markets work there. But the team is less familiar with some of these new markets. And with Block as opposed to just acquiring operating assets, we have also acquired a team that has built the Block business and has local relationships and local expertise in MISO. And that was really another key compelling aspect to that particular transaction which made it more attractive for us to pursue and eventually consummate. So, I'd say it's -- when it comes to new markets, we obviously want to make sure we've got the right team and the right expertise in place to pursue that as well. And to be comfortable operating in an environment that is going to be -- is going to continue to be cyclical going forward. Internationally, we -- just given our position in the industry, we do see a lot of opportunities outside of the U.S. as well. I'd like to believe we're one of the first calls that people do make when they want to reach out to the large public miners about new opportunities internationally. The challenge there is kind of similar to even just moving outside new jurisdictions from ERCOT is what's our familiarity and comfort level with moving into that new market? Who are the partners we're talking to? And ultimately, even if it comes with what looks like a lower price on power, do we feel the rewards outweigh the potential risks. And so that's really how we evaluate international opportunities. We're not close to it but I think the threshold from a risk perspective is higher and so the reward to offset that would have to be correspondingly higher as well.
Brett Knoblauch: And maybe just one quick follow-up on -- I don't know if you felt like the capacity auction today in PGM. Is the Kentucky assets within PGM or no?
Jason Les: No. The Kentucky assets are in MISO and in the TVA, Tennessee Valley Authority. So not in PGM.
Phil McPherson: Our next question is from Mike Grondahl at Northland Securities. Operator?
Mike Grondahl: Just a follow-up on the Kentucky acquisition. What do you guys see as the operational challenges there? It's pretty small today but the growth looks pretty significant. What do you see as those operational challenges?
Jason Les: Let me turn that question back over to Jason Chung.
Jason Chung: Thanks, Jason. Right now, the Block Mining team operates about 1 EH/s of self-mining capacity. We want to get that up to the 15.8 end of next year target. And I think one of the benefits -- one of the strategic benefits to this deal on both sides is really what we're tying is this huge opportunity for the team, the availability of expansion capacity tied with Riot's strong balance sheet and the availability of capital that we have to contribute to that. So I think in the near term, the focus is really going to be on building out on the existing opportunities to expand and also to take advantage of getting access to more power through new PPAs. They bring the relationships on the ground and we bring the capital and capabilities to help make those happen. So from that perspective, I think there's really interesting marriage of the two companies there. But it's really going to come down to just building out and taking advantage of the expansion opportunities that we have on the ground.
Phil McPherson: Our next question comes from Mike Colonnese from H.C. Wainwright. Operator?
Mike Colonnese: Congratulations with all the progress of course in Kentucky. That's a lot of hash rate in a short amount of time. So great to see that. First one for me. Do you guys plan to deploy air cooled or immersion infrastructure as you build out and convert Block Mining's pipeline of opportunities over the near to longer term here in Kentucky? And if you could just share what you're seeing in the market today as it relates to the cost per megawatt to build air cooled versus immersion. We've been hearing talks of emersion really starting to come down on a price per megawatt basis. So you guys are experts in the space. I wanted to get your thoughts there.
Jason Les: Sure. So at Kentucky, Mike, we are going to be building a mix of both air cooled and immersion. Currently, all of their operations are air cooled. We believe, though, that immersion will likely be in place for expansion. But we -- I don't think we would be looking to retrofit any of the existing air cooled operations, at least in the near term. I think they've shown very strong operating results with their air cooled assets. If you look at the cost per megawatt, like many things I think you see in the sector, it depends on what you're including into that cost. And I think you may recall at our Corsicana Investor Day and our deck there, we had a breakdown of the cost per megawatt and things that are included in there. So when we look at building out something like -- for example, Corsicana, what we include in that is the substation expansion that's needed because at that large capacity, we want to own that on substation, have the advantages that we get from that. Other operators, if they're building out on a smaller scale and not needing to build a substation then -- and they are instead leasing access to capacity which reduces your upfront cost but has its own risk like any time you're leasing versus buying and owning, then you're going to have a lower CapEx cost. As far as immersion goes, I think that there are more and more players entering the space. Some of the equipment -- there's a bunch of equipment that goes into it. So what may be -- you may be getting a better price for example, on a dry cooler but maybe I think is more expensive or maybe the fluid is getting cheaper but pump equipment is more expensive. So there's a bunch of equipment there. I don't think that we've seen too significant of a change in that market yet. But we're still in the process of getting bids and determining what we will put together for a phase 2 expansion at Corsicana. So it's kind of to be determined what that final pricing will look like. And then after going through that exercise, we'll have a better answer to your question.
Mike Colonnese: Got it. I appreciate the color there. And how do you plan to integrate the management team from Block Mining into Riot? And what are some of the noteworthy resources, skills that this broader team really brings to the company? I know you highlighted boots on the ground local relationships with MISO. But any other notable skill sets or resources that this team could bring on board?
Jason Les: Yes. The Block Mining team has done an excellent job building that capacity very quickly and showing strong operational uptime. So they've demonstrated they are excellent Bitcoin miners from the development and operating standpoint and that is very advantageous to us. So you couple that with their local relationships and capacity that they've been able to secure for growth and they can be out in Kentucky, doing what they've already done, being good at what they do and growing the capacity out there. So they really fit into Riot basically as our Kentucky division. We have, of course, the core of our operations here in Texas. And then now we have this Kentucky arm operating base as well. And what's great is all of these teams can work together to share knowledge. Bitcoin mining is a game of a cumulative knowledge over time. There is no book on how to do this; so everyone can share what they've learned works and what doesn't and make all teams better at what they do. So we are very happy to have Block Mining on board, no longer Block Mining, now Riot, Kentucky.
Phil McPherson: We've got one more question from John Todaro at Needham & Company. Operator?
John Todaro: Congrats on the hash growth here. Two for you. One, do you see a world where the HPC AI stuff starts to become a competitive pressure to Bitcoin mining? Do you hear that even Texas might be suitable for those sites? So do you see a world longer term or maybe Bitcoin mining is pushed outside the U.S. or the other even more remote locations? That's first question. And then second question, just wondering if you do diligence Jack Dorsey's new mining rigs, they did that big deal with Core Scientific. Just wondering if you have any thoughts on that chip in that rig.
Jason Les: Sure. Thanks for the question. So starting backwards, I'll tell you, we are speaking with all manufacturers and evaluating things on an ongoing basis. We're having a great team here. I won't comment on specifically in anyone's products while discussions are ongoing. So I know Block has invested a lot in achieving this goal. It will be very interesting to see how they progress. So we talk to them as we've talked to all others but I don't want to give any direct commentary on anything that's not necessarily public at this time. As far as competition with AI HPC, yes, I do think bitcoin miners will be competing with AI HPC for access to power. I think Bitcoin miners are a bit easier for the grid to get comfortable with than AI HPC because of the flexible nature of our operations. So I think it is a little bit easier. Bitcoin miners have an advantage there in getting approved for capacity. Given that Bitcoin mining is our core focus, if more capacity is being used for AI and HPC, or other miners are diverting their capacity to AI HPC instead of Bitcoin mining, that means the network hash rate and thus Bitcoin mining difficulty is growing slower and that's good for us; there is less competition.
Phil McPherson: Okay. At this time, there's no further questions. We thank everybody for joining Riot on our second quarter earnings call and we look forward to updating you on our progress in November. Thank you.
Operator: Thank you. This concludes today's teleconference. You may now disconnect your lines at this time. Thank you for your participation.